Operator: Hello. And welcome to the Enthusiast Gaming Holdings Fourth Quarter 2024 Financial Results Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to J.B. Elliott, Chief Strategy Officer and General Counsel. Please go ahead.
J.B. Elliott: Thank you, Operator. Good afternoon, everyone. And welcome to the Enthusiast Gaming fourth quarter and year-end 2024 results conference call. I’m J.B. Elliott, Chief Strategy Officer and General Counsel. With me today is Interim Chief Executive Officer, Adrian Montgomery; and our Chief Financial Officer, Alex Macdonald. We’ll begin with some prepared remarks and then open the floor to questions. Before we begin, I’d like to remind everyone that today’s presentation contains forward-looking information that involves known and unknown risks and uncertainties and other factors that could cause actual events to differ materially from current expectations. These statements should not be read as assurances of future performance or results. Such statements involve known and unknown risks, uncertainties and other factors that may cause actual results, performance or achievements to be materially different from those implied by such statements. A more complete discussion of the risks and uncertainties facing the company appears in the company’s Management Discussion and Analysis for the three months and year ending December 31, 2024, which are available under the company’s profile on SEDAR+, as well as on the company’s website at enthusiastgaming.com. You are cautioned not to place undue reliance on these forward-looking statements, which speak only as of the date of this presentation. The company disclaims any intention or obligation, except to the extent required by law, to update and revise any forward-looking statement as a result of new information, future events or for any other reason. Now, I’d like to turn the call over to Adrian Montgomery. Adrian, the call is yours.
Adrian Montgomery: Thank you, J.B. And thank you everyone for joining us on today’s fourth quarter and full year 2024 earnings call. I’m pleased to report that Enthusiast Gaming closed out the year with strong momentum and a business that has been fundamentally rebuilt for long-term success. Before I begin, I want to take a moment to officially welcome back Alex Macdonald as our Chief Financial Officer. Alex previously served as our CFO for over four years and rejoined the company on January 1st. He knows the business inside and out, as he was our first ever employee, and he brings deep financial and operational expertise. Welcome back, Alex. 2024 was a transformative year for Enthusiast Gaming. We undertook a deliberate refocusing of our business to emphasize what we own and what we operate, and to eliminate lower margin segments and their associated operating costs. Our deprioritization of the video network and third-party web network accounts for the majority of our topline revenue declines, but this was a strategic tradeoff. We significantly reduced our operating expenses, improved our cost structure and re-centered the business around efficient high margin growth. The result? A dramatic improvement in adjusted EBITDA. In Q4 2024, adjusted EBITDA improved meaningfully, coming in at $1.9 million, compared to a loss $3 million in Q4 2023. A $4.9 million swing toward and into profitability. We reported revenue of $17.8 million for the quarter, down from $47.1 million in Q4 of the prior year, but at a significantly higher gross margin of 76%, compared to 40% in Q4 of 2023, which is a testament to the strength of our core owned and operated assets and focused monetization strategies. While revenue was lower year-over-year, the profitability of our core operations and cost structure improvements have fundamentally changed the quality of our earnings. Operating expenses saw a significant reduction with cash-based quarterly OpEx down by over $10 million year-over-year in Q4, reflecting disciplined cost management and our streamlined focus. On a full year basis, we reported $73 million in revenue in 2024, down from $178 million in 2023, almost entirely due to the deprioritization of the low margin network revenues. However, our adjusted EBITDA improved over $12.8 million, from an adjusted EBITDA loss of $13 million in 2023 to an adjusted EBITDA loss of only $153,000 in 2024, excuse me, which doesn’t account for the normalization of the structural changes made throughout 2024. These results reinforce the quality of our go-forward earnings and the sustainability of our refocused business model. Looking ahead to 2025, we are confident in the strength of our gross margins, which we expect to be similar to those achieved in 2024 and maintain our commitment to cost discipline, each of which is a result of the increased efficiency of our monetization model. With support from our Playwire partnership, our programmatic revenue is delivering higher yields with lower costs across our owned and operated properties. And with our subscription products once again gaining momentum, we’re seeing more revenue flow directly to the bottomline. That means one thing. The next step is audience expansion. Let me be clear. Our goal for 2025 and beyond is to spend more time with more gamers. This vision, while simple, informs everything we do, from product development to content strategies to how we engage our advertising partners. We serve gamers anytime and anywhere. We entertain them. We inform them. We give them tools to make them better. And that serving of gamers happens through our communities, content creators and experiences. These four pillars represent the foundation of our ecosystem, and we believe that with an efficient and effective monetization model in place, deepening engagement across our properties is the path to lasting value. Let’s talk about some of the standout assets powering this success. The Sims Resource had a strong Q4, adding thousands of paid subscribers and ending the year up year-over-year in subscriber counts versus December 20 -- December 31, 2023, despite first half declines. That trend has continued into 2025, with TSR consistently setting new all-time highs for paid subscribers each week. Major product updates are planned for this year, which we believe will take TSR to even greater heights, including its engagement and paid subscriber base. Icy Veins had an excellent year in 2024, closing Q4 with a strong performance. The site benefited from macro tailwinds like World of Warcraft’s, The War Within expansion in August and Diablo IV’s Vessel of Hatred release in October. These, combined with an extraordinary effort from the Icy team to expand its coverage across new game titles and deepen its engagement with users through interactive tools, drove record results. With coverage for three new titles already launched through Q1, including a highly successful expansion into Monster Hunter Wilds, which has seen immediate returns for the property. Icy is already significantly up year-over-year, and with more expansion, modernizations and feature improvements planned throughout 2025, we’re confident in another great year ahead. U.GG continued to deliver value for players and advertisers alike in 2024 through a best-in-class product. 2024 saw U.GG expand into three new titles, including the Riot titled Teamfight Tactics, the breakout success Helldivers 2 and a Q4 launch of coverage for Deadlock, a highly anticipated first-person MOBA from Valve. While also significantly growing its user base in its proprietary Deadlock applications for League of Legends and Valorant, where user retention, engagement and monetization see drastic improvements versus the website property. Both game title expansion and app conversion remain key and necessary drivers of growth for U.GG, with six more title expansions planned over the coming quarters. These titles include the latest gaming success story, Marvel Rivals, which I’m pleased to announce has gone live today, as well as the soon-to-be free-to-play Rainbow Six Siege and the highly anticipated Riot Fighting Game 2XKO. Turning to our PocketGamer brand, 2024 was a standout year for PocketGamer Connects. Our flagship events in London and Helsinki set new records, and we’re expanding in 2025 with three new events, Barcelona in June, Shanghai in July and another major Southeast Asia event to be announced soon. Meanwhile, pocketgamer.com, the consumer-focused web companion to our events business, doubled its traffic over the course of 2024 and continues to grow as the go-to destination for mobile game news, guides, tier lists and reviews. We are extremely bullish on both the B2B and consumer growth potential of the PocketGamer brand. We also made an important strategic decision to sunset our NFL Tuesday Night Gaming program at the end of 2024. While the show made significant waves over its three seasons and we are proud to have shown the industry the art of the possible at the crossroads of sports and gaming, the economic realities were ultimately clear. The cost structure was high and thus required significant sponsorship commitments on a more rigid template, which didn’t always fit our goal of giving our direct sales clients the access to gaming audiences that they need, but in the budgets, mediums and timing that they want. The final episode of NFL TNG aired in February and the program is now non-recurring in these financial results. Going forward, we will focus on a built-if-sold model for custom content, a more flexible and profitable approach that aligns better with our customers’ needs. Custom content, however, remains an important part of our long-term strategy. Projects like Luminosity’s Rising Stars, which has returned in 2025, allow for high engagement, lower cost activations with top creators and strong brand alignment, and are an incredible example of the type of content we will continue to pursue. This year’s version of Rising Stars has already generated over 300 pieces of content and has well surpassed 300 million impressions. We’re building on our production expertise and creative capabilities with a model that protects and enhances profitability. Although delayed by the LA fire, our partnership with the NHL also continues, but on a timeline that works for all parties, for ourselves, our sponsors and the league, and with a model that allows more flexibility to align costs with revenues on sold-through episodes. As a result, we have reset the timeline with the NHL to run concurrently with the NHL’s 2025-2026 season, and we are focused on ensuring that the show aligns with sponsor expectations and runs profitably at all times for the company. 2024 was also a year of transition for the direct sales team and we ended the year with some encouraging momentum. Amazon was our largest direct sales client in 2024. Given their size and their sophistication, this is a promising indicator of the effectiveness of our offerings. They have already returned for more business with us in 2025. Lego, State Farm and Toyota are also consistent repeat customers through 2024 and now into 2025, also reflecting satisfaction with our offerings by very notable global brands. And finally, Ford became a new client in early 2025, and we welcome the addition of this incredible company to our automotive vertical. We believe this is a testament to our improved go-to-market approach, stronger sales materials and the value of our creator and content ecosystem. Stepping back, we are proud of where we are today. We now have a business model that is profitable, high-margin, and focused on owned and operated properties that we control and scale. Our monetization is efficient, our costs are predictable and we are in a strong position to grow. With the foundation firmly in place, we are shifting our focus to audience growth across our ecosystem. And importantly, we are operating in a global landscape that continues to validate our industry model. According to PwC, gaming remains one of the fastest-growing segments in the global entertainment and media industry, and we are well positioned to benefit from that tailwind. Additionally, digital advertising is expected to capture over 60% of all ad spend by 2026, according to Dentsu, with gaming content and creators continuing to command premium value for reaching high-intent, brand-safe audiences. Our platform fits squarely at the intersection of these trends. As both a media and technology company focused on gaming, we are uniquely positioned to monetize this growing attention in scalable and profitable ways. In summary, Enthusiast Gaming is emerging from its transition in 2024 with real momentum and a clear vision. We have rebuilt the company with discipline, focus and an unwavering commitment to scalable and profitable growth. 2025 is shaping up to be a year of expansion in both audience and profitability. Thank you to our stakeholders, our partners and our communities for their continued support. I will now turn the call over to Alex for a closer look at the financials. Alex?
Alex Macdonald: Thank you, Adrian. I am pleased to be back at Enthusiast Gaming and to rejoin the earnings call in my role as Chief Financial Officer. Having previously served as CFO for over four years, I know this business well. I am also pleased to once again be working with an exceptional and hardworking finance team and with our SVP Finance, Nathan Teal. And it has been especially rewarding to return at a time when we are seeing such meaningful financial progress across the organization. 2024 marked a turning point for the company. We exited many lower margin lines of business, streamlined our cost base and concentrated our efforts around what we own and what we operate. These decisions led to substantial improvements in our financial profile, notably in the significant reductions in operating expenses and the significant increase in gross margin, bringing the company to what is now consistent, recurring profitability with a momentum we are ensuring continues through 2025. And this momentum is underpinned by a healthy monetization structure, with higher yields and higher margins coming out of our programmatic streams and through our partnership with Playwire. Subscribers are currently climbing rapidly and our events business is expanding to new locations globally. As we focus on growing these revenue streams, and of course, our direct sales, incremental revenue now comes in at over 70% gross margin, which combined with our efficient and lower cost structure leads to a continued path towards additional leaps in adjusted EBITDA in 2025. In respect of our more detailed financial results, I would first note that our results are presented in Canadian dollars. The significant majority of our revenues and expenses are measured in U.S. dollars and are translated into Canadian dollars for presentation in our financial statements. The exchange rate between the U.S. dollar and our presentation currency of the Canadian dollar should be monitored and considered when analyzing or forecasting results. Additionally, it’s important to note that the historic financial results for the year 2024 do not yet fully reflect the changes in revenue mix, as well as cost reductions enacted throughout the year, and therefore may not bear a strong resemblance to future results. Now let’s speak about the numbers. Total revenue in Q4 was $17.8 million, which is down from $47.1 million in Q4 2023. The breakdown of Q4 revenue is as follows. Media and content revenue was $12.8 million, down from $42.6 million in Q4 2023, primarily due to the deprioritization of the low margin Omnia video network. Esports and entertainment revenue was $2 million in Q4, up from $1.2 million in Q4 2023, primarily driven by increased event revenue. Part of this increase relates to the PocketGamer Connect Helsinki event being held in Q4 of last year and being held in Q3 of 2023. Subscription revenue was $2.9 million, down from $3.3 million in Q4 2023, primarily due to the sale of certain legacy casual gaming assets under the Addicting Games portfolio. Paid subscribers were $238,000 as of December 31, 2024, down from $268,000 as of December 31, 2023, due to the sale of the legacy assets, but up from $234,000 as of September 30, 2024. The majority of subscription revenue is sourced from the Sims Resource web property. Paid subscribers in the Sims Resource had periods of decline during 2024, but were fully recovered and up year-over-year as of December 31st, and have continued to increase subsequent to year-end. Despite the revenue decline, our gross margin improved significantly to 76%, up from 40% in Q4 2023. This is largely due to the mixed shift in revenue, as revenues from owned and operated properties now make up the majority of media and content revenue, and events and entertainment and subscription account for an increased percentage of overall revenue, with those two categories combined accounting for approximately 28% of revenue in Q4. Quarterly cash-based operating expenses decreased by over $10 million year-over-year in Q4, with savings across effectively every line item, but primarily driven by decreases of $4.1 million in salaries and wages, $2 million in technology support, web development and content, and $2 million in consulting. This new cost structure in Q4 more accurately represents the go-forward operating expenses of the company, with additional cost savings expected in 2025. Adjusted EBITDA was $1.9 million, compared to a loss of $3 million in Q4 2023. This represents a $4.9 million swing into profitability and is our strongest quarterly EBITDA performance in company history. Adjusted EBITDA includes an adjustment for the discontinuing of NFL TNG of $2.5 million in Q4. Were this same adjustment made in Q4 2023, the year-over-year improvement in quarterly adjusted EBITDA would still be $3.7 million in Q4. From a balance sheet perspective, we ended the year with $4.8 million in cash. Working capital, excluding current portion of long-term debt, current portion of deferred payment liability and contract liabilities or deferred revenue, was positive approximately $3.3 million. Current portion of long-term debt includes $20.4 million of amounts under the credit facility, which are not due until July 2028, but are presented as a current liability as of December 31, 2024, due to the company not being in compliance with certain covenants under the facility. Current portion of long-term debt also includes $18.5 million of amounts under the term credit and operating credit facilities provided through the commitment letter, which are currently set to mature in June of 2025. The company has worked closely with its lenders to amend the terms of each of these facilities, including with an intent to extend the maturity dates under the commitment letter and to amend the covenants to reflect the current operating structure and expected performance for 2025 and beyond. We made consistent principal payments throughout the year, which not only reduced debt, but also reduced interest burden. While continued efforts are needed to secure a long-term solution for the debt side of the cap table, a significant portion of our debt servicing costs are driven by principal repayments. Our accounts payable and accrued liabilities also decreased meaningfully in 2024, improving our working capital position and balance sheet flexibility. Looking ahead to 2025, we do expect to maintain high gross margins, similar to the levels achieved in 2024. Additional operating efficiencies are already being realized in Q1, including savings from the conclusion of NFL Tuesday Night Gaming, which will be realized in the technology support web development and content expense line. We are investing in additional ramped sellers in 2025. In 2024, due to significant turnover at the start of the year and the refocusing of the business in the first half, the company had, on average, 40% less ramped sellers than in 2023. In the second half of 2024 and in early 2025, the company added new seller headcounts with a goal to achieve an average ramped seller headcount in 2025, which approaches 2023 levels. We also have a number of exciting product advancements across our owned and operated properties. Our monetization structure is now highly efficient, with improved programmatic yield, rising subscriber conversion rates and reduced churn. As we reinvest in growth through game title expansion on platforms like Icy Veins and U.GG, new content and SEO investments, and strategic referral partnerships, we believe we are positioned to significantly grow our audience, and every new user we acquire we can monetize more effectively than ever before. TSR continues to set subscriber records and we believe our upcoming product advancements there will allow us to capture an even larger share of its category and potentially expand TSR’s target audience beyond players of the Sims game titles. We are also mindful of the broader economic environment. While there is a broad consensus that digital advertising will be strong in 2025, particularly with firmer CPMs returning to the market, there is some caution around the potential impacts of tariffs, especially in the North American market, which remains our largest. We are watching this closely. Currently, we are seeing CPMs finish Q1 in a reasonably strong position, and any further growth in CPM that does materialize this year will only be incremental to our own success and profitability. We will continue to focus on cash flow, disciplined resource allocation, and enhancing the profitability of every dollar we generate. While profitable revenue growth is again a key focus for the company in 2025, it is being pursued in ways that protect our margins and drive long-term value. In closing, 2024 was a year of refocusing for Enthusiast Gaming and a successful one. We have dramatically improved our cost structure, sharpened our revenue mix and demonstrated our ability to operate efficiently at scale. With these achievements behind us, we are now fully focused on turning that efficiency into growing and lasting profitability. And ultimately, this is the pathway to outsized returns. With a stable, high-margin monetization engine in place, our focus turns to growing our audience by scaling across more game titles, launching major product improvements, expanding our reach through SEO contents and partnerships, and capturing more user attention. Indeed, our mission is to spend more time with more gamers, and with every new audience member, we increase our monetization potential through programmatic ads, paid subscriptions, and increasingly through our once-again growing direct sales efforts. Our ramping of the direct sales team means this high-value revenue channel once again has the opportunity to become a meaningful contributor to topline growth. With this foundation, there is a structure in place for efficient growth and increasing EBITDA contribution at scale for our business. And of course, ladies and gentlemen, our business is the business of gaming. Thank you. Operator, I kindly turn it back to you.
Operator: Thank you. [Operator Instructions] The first question comes from Robert Young from Canaccord Genuity. Please go ahead.
Robert Young: Hi. Good evening. You noted you’re just concluding Q1 with a positive CPM trend. Just thought, can you give us a sense of the topline? Should we assume normal seasonality or would the NFL and NHL programs have challenged that normal negative seasonality? And then can EBITDA remain positive despite the end of the NFL TNG contract? Just give us some broad thoughts on where Q1 would be topline and EBITDA positive.
Alex Macdonald: Sure. Hi, Rob. Alex here. I’ll start with CPM. Yes. Reasonably strong uptick in Q1, but yes, absolutely normal annual seasonality at play. Certainly decreased from Q4 as would be expected. But what I like to see is there’s also seasonality inside the quarter. That happens in every quarter as well and we saw a nice pattern through the back half of March, which maintains my optimism for firmer CPMs this year. For the rest of the year, I mean, we’re still bullish and I know that the broad consensus has been firmer CPMs. But a little cautiously optimistic there. I still anticipate some growth year-over-year from CPMs, but of course, we’re cautiously optimistic with the broader macro environment. Where we are affecting change there is driving audience and our O&O. And that’s where we have the most power to affect change and we’re investing there, SEO, content, partnerships, product advancements, game title expansions. We’re using those to bolster audience because we are seeing increased yield with our partnership with Playwire. So it’s -- the next natural move is to increase audience. As far as direct sales with NFL, the impact there is obviously cost savings. Certainly, the adjustment is provided in the MD&A. That savings will be focused on the technology and content line. I would suggest that it would look more similar to a Q3 run rate than a Q4 before the show really started to ramp. There were two episodes that did air in Q1, but it would look more similar to a Q3 run rate for that line than Q4. And generally, look, there’s a lot of seasonality at play. NFL will have some, of course, turning now, we will have some direct sales impact for Q1, but the clients are back. Some of our largest direct NFL TNG sponsors are back this year and they’re still filing their orders. They’re shopping in the other areas of our portfolio. They’re shopping in custom content with Luminosity. They’re buying our display ads. They’re buying our video ads. So we’re pleased to see that. It has little impact on the sponsors. They’re still back here at Enthusiast Gaming and placing their orders for the year. But I would expect some short-term impact to direct sales in Q1, which naturally comes with seasonality as well. Is there more to the question, Rob, or did I covered a lot there?
Robert Young: There’s a lot in there. The other piece was just around the ability to stay positive. Is that something that you can do every quarter in 2025 or is that something we should expect in the back half?
Alex Macdonald: Certainly, it’s difficult in Q1. I’d certainly say there’s a shot, but it’s difficult in Q1 with the seasonality, but absolutely for the year, for the remainder of the year.
Robert Young: Okay. And then, I think you said that gross margins would be relatively consistent with 2024 and 2025. So, I guess, that suggests that the gross margins will dip in Q1 and then improve through the year. If we think about the cadence, I think, you said it would be incremental revenue at 70% plus, I think you said in the prepared remarks. So, should we expect it to dip down closer to 70% and then improve through the year?
Alex Macdonald: Yeah. I think I look at more, I think, they’ve stabilized at about this point. Most of last year, as you know, was between 70% and 76%. I think they’re going to be stable within that range. I would expect them to dip a bit with Q1. I expect them to be stable in that low 70%s range, yes.
Robert Young: Okay. Two more questions. One, the NFL contract, are there additional opportunities with the NFL going forward or does this conclude the relationship with them? The NFL, sorry, the NHL contract is continuing to move forward, I believe. Is that correct?
Adrian Montgomery: Yeah. The NHL is, yes. I mean, there could be opportunities to work with the NFL in the future and certainly, it was a three-season relationship, first of its kind, et cetera, et cetera. In terms of the costs associated with it versus the programs that we create like Rising Stars and the costs associated with it and the organic audiences that they generate, there’s a far more scalable ROI in building those properties out than a relationship like with the NFL. But certainly, there’s all kinds of chances to do more with organizations such as that. We would just need more clarity and more flexibility in terms of how we bring those properties to life.
Robert Young: Okay. So this is basically a decision by Enthusiasts’ to walk away from the TNG contract because the economics of the contract just weren’t in your favor or weren’t where you thought they would be?
Adrian Montgomery: Yeah. I would very simply say that. And the way a product like TNG works is there’s a fixed episode commitment. And so, like Alex said, you know, we have customers like State Farm, customers like Amazon, who were TNG customers, who are still Enthusiast customers, but who are spending with us in different areas. In different parts of our business, that’s far more flexible than a very significant mixed episode commitment, which carries with it inherent each and every week production costs, right? So, yes, there’s a far better way to leverage custom content for direct sales than through significant fixed episode commitment production concepts.
Robert Young: Okay. Since I’ve got you, Adrian, I know you were introduced as Interim CEO, so maybe you can update us on the CEO search and then I’ll pass the line.
Adrian Montgomery: Yeah. The focus really has been from the Board through the management to getting us through what was quite candidly an uncertain situation as we began last year. And I think now that we have a crisper vision and a crisper route to scalable profitability, I think, we can focus on questions like leadership. Candidly, it hasn’t been a priority for the company given the challenges and opportunities we wanted to wrestle, but we’re in a better place now and we can revisit those timelines.
Robert Young: Okay. Thanks for all that and I’ll pass the line.
Operator: Thank you. [Operator Instructions] Your next question comes from Mike Crawford from B. Riley. Please go ahead.
Mike Crawford: Thank you. And just to be clear, given that the first quarter is now over, you -- there’s not a specific range of revenue and or EBITDA that you’re able to give, because you don’t have control over your financial statements or that data doesn’t come in until later?
Alex Macdonald: Hi, Mike. It’s Alex. Good to talk to you again. We just don’t -- we haven’t -- we don’t provided guidance and we haven’t provided guidance in the customary disclosures in detail that would come with that. As I said, though, we had a solid Q4. Certainly expect normal course seasonal adjustments that will involve decreases in media and content specifically, decreases in direct sales inside of that. Subscription, of course, would expect it to not be impacted by seasonality and the events and entertainment is not impacted by the annual seasonality. In fact, it has the London event. So it’s -- is not that we are at -- we’re certainly able to, but we do not have published guidance. But I would expect the seasonal patterns to be customary, traditional, as we’ve seen in the past, which will result, of course, in a decrease in revenue and gross profit, which is normal. And of course, we have some savings that we’ll achieve from the termination of NFL TNG. I hope that guides sufficiently.
Mike Crawford: Okay. It’s just a little strange to have, I mean, the quarter’s over. But in fourth quarter, what was the TNG revenue? And also, how about if you could characterize contributions from political ads that might not -- that won’t repeat in 2025?
Alex Macdonald: Sure. I can tell you the direct sales in NFL in Q4 was $817,000. That’s the exact number. I’ll give you a Mike. As far as contributions from political campaigns, there was, we were a provider to the -- do you want to take?
Adrian Montgomery: Yeah. No. No. That’s fine. In the neighborhood of a $1 million, I would say, it was directly related to American political campaigns. And then, obviously, you guys have a more active political cycle, but we’re also in the middle of a federal election right now in Canada. And so, political opportunities are still in front of us.
Mike Crawford: Okay. Great. And then, I was also pleased to hear that you’re pleased with your Playwire partnership helping programmatic. But can you provide me further metrics on exactly what’s changing in programmatic with Playwire?
Adrian Montgomery: Yeah. Alex.
Alex Macdonald: Yeah. So, a couple of things that we look at. Certainly, I mean, it ultimately comes down to yield, of course, by session or by pay due. We have been able to achieve higher CPMs. We have been able to achieve higher fill rates. So, that’s obviously the percent of our inventory that is sold. Naturally, some inventory goes unsold in the programmatic world. So, they’ve been able to increase our fill rates, new units. We’ve been able to launch new video units, some reward video, better video units overall and whatnot. So, it’s generally -- some of the sites have seen substantial 30%, 40% plus, sometimes even greater increases in yield. And then, also, it’s enabled us some of the new units and sophistication that we’ve built jointly with Playwire has enabled us to increase the ad load in some places, which is a number of impressions you can serve to a pay due with minimal impact to user metrics such as engagement, such as retention. So, it’s across the Board. These are all of the things that we work with Playwire. One thing I will say as CFO, there’s another big one and that’s a top business. We’re grateful to partner with Playwire in that business. It can be as a -- we just used to run an ad network. It’s a low-margin business with a lot of cost to run ad networks. So, that, of course, in 2024 was -- also happened to be a very substantial cost-saving opportunity that was realized.
Mike Crawford: Great. Thanks, Adrian and Alex.
Alex Macdonald: Thank you.
Adrian Montgomery: Thank you, Mike.
Operator: Thank you. [Operator Instructions] Thank you. There are no further questions at this time. I’ll now hand the call back to Adrian Montgomery for closing remarks.
Adrian Montgomery: Thank you. Once again, just very quickly, I want to thank our stakeholders, our lenders, our shareholders, but most importantly, especially when you come through a tough year and a transformational year, and in many ways a successful year, that positions us well for the future. It cannot be done without the hard work of each and every one of our Enthusiasts who work for the company. They bring it every day, they’re smart, they’re tenacious, they’re creative, they’re innovative, they’re aggressive and it’s certainly not lost on any of us the value that you all bring to this company every day. And on behalf of the management team, the Board, I want to thank each and every employee for what you do, what you’ve done and what you will continue to do for us. Thank you.